Operator: Ladies and gentlemen, thank you for standing by and welcome to the First Citizens BancShares First Quarter 2023 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to introduce the host of this conference call, Ms. Deanna Hart, Senior Vice President of Investor Relations. You may begin.
Deanna Hart: Good morning, everyone. Thank you for joining our first quarter earnings call. Our Chairman and Chief Executive Officer, Frank Holding; our President, Peter Bristow; and our Chief Financial Officer, Craig Nix will provide an update on the FCB acquisition, our first quarter and 2023 outlook. During the call, we will be referencing our investor presentation which you can find on our website. Our comments will include forward-looking statements, which are subject to risks and uncertainties that may cause our results to differ materially from expectations. We assume no obligation to update such statements. These risks are outlined for your review on Page 3. We will also be referencing non-GAAP financial measures. Reconciliations of these measures against the most directly comparable GAAP measures are found in Section 8 of the presentation. First Citizens is not responsible for and does not edit nor guarantee the accuracy of our earnings teleconference transcripts provided by a third party. I will now turn it over to Frank.
Frank Holding: Thank you, Deanna, and good morning, everyone. Starting on Page 5. We announced another quarter of solid financial results. As you know, we're our TBV focus company and we're pleased that the acquisition of SVB resulted in 112% TBV accretion on the acquisition date and 106% after the CECL adjustments. This transaction meaningfully boosted our capital base providing us with an even more solid foundation to continue growing profitably while delivering long-term value to our shareholders. Since the acquisition, we have had meaningful engagement with key SVB leaders and clients reinforcing that FCB and SVB have commonalities that guide us including deep commitments to our clients and people and to the communities we serve. The CIT merger included many unique businesses and we have successfully integrated those into our business model. So we are confident with this recent experience that we'll be able to -- they will enable us to incorporate SVB as well. We've long believed that direct communications with our clients and associates are essential. And to that end, I'd like to briefly touch on some recent departures that have been reported. As with any combination of discounts, some level of associate turnover in deposit and client churn is expected. However, we are confident that SVB has one of the deepest and most experienced benches of any financial institution serving the innovation economy. And we're committed to maintaining and growing SVB's market by leveraging this deep seeded talent and strength as we move forward. Importantly, the combined organization is very well-positioned financially and is operating from a position of strength, in addition to significant TBV accretion, our liquidity remains strong driven by our conservative asset-liability management, and was enhanced by this transaction with the creation of on-balance sheet funding and access to significant contingency funding. Turning to legacy First Citizens performance. We delivered another quarter of deposit and loan growth as positive momentum continued across all lines of business. The strong quality loan growth we've experienced this quarter in tandem with the positive asset repricing that we experienced throughout 2022 helped generate favorable operating leverage year-over-year. We, like most companies, faced some economic headwinds including the increasing possibility of recession, however, we have not seen meaningful increases of stress in our credit portfolio. Overall, we remain encouraged by the resiliency of our clients in the face of elevated inflation and rising interest rates and we look forward to continuing to support them. Turning to Page 6. We remain focused on the long-term sustainable shareholder value driven by our core strategic priorities which haven't changed other than the addition of a new strategic priority related to the acquisition of SVB. Long-term benefits can be achieved by harnessing SVB's legacy businesses and leveraging these to attract and retain new clients to our franchise. SVB continues to support its clients day in and day out. In fact, several clients recently announced new deals with SVB, that are supporting the growth of their businesses. In addition, SVB's premium line division currently has all-time high loan outstandings, SVB's Community Development Finance Group closed its largest-ever affordable housing facility and this week is celebrating the grand opening as the lead construction lender of new housing in San Francisco for formally unhoused military veterans. To successfully integrate SVB, we are focused on the following: the first, running SVB as SVB to maintain a competitive advantage it has in the innovation economy, while at the same time, infusing the cost discipline and risk management that is defined First Citizens for 125 years; secondly, continuing our high-touch approach, demonstrating the legacy SVB clients that we're committed to helping their businesses succeed; third, embracing our SVB colleagues to create synergies, then enhance our client relationships and further drive the innovation of our products and services; and lastly, continue to articulate our vision with SVB associates to proactively retain key revenue-generating employees and the staff to support them. While we are clearly in the early days of SVB acquisition, we already have begun to integrate our teams and we continue to actively prioritize our efforts to support SVB and its clients. As a combined team, we remain committed to our long-term strategic focus, our relationship client-focused model, delivering solid results while operating with strong liquidity, and capital positions, and effectively managing risk within our defined risk appetite. I would like to close my comments by recognizing all our associates at FCB and SVB for coming together over the past month to move us forward as a combined company. We still have work to do, but your hard work provides us the real opportunity to unlock the strategic and financial value of this partnership. And I'll turn it over now to our President, Peter Bristow to further discuss areas of focus on the SVB acquisition. Peter?
Peter Bristow: Thank you, Frank, and good morning, everyone. On Page 8, I want to touch on the potential growth opportunities the SVB combination unlocks for First Citizens. With the addition of approximately $100 million in total assets, SVB adds meaningful financial scale to First Citizens. While we did experience some level of deposit outflows since the acquisition day, about half of which was expected on day one. We have begun to see some signs of stabilization. This acquisition builds on First Citizens' solid foundation by adding significant scale, geographic diversity, exceptional talent, and most importantly valuable solutions for clients throughout their financial life cycle. First, the addition of SVB meaningfully advances our presence in the innovation and technology sectors. SVB's historic leadership position in these sectors and serves First Citizens is better positioned to serve venture-backed companies and tech start-ups in our backyard and across the nation. Second, it opens new business opportunities while driving incremental topline growth. By leveraging the existing offerings of First Citizens and SVB, we can better serve our combined client base. Third SVB Private has enormous potential to accelerate the growth of our wealth business, adding new digital capabilities, talent, and solutions to our already-growing franchise. Fourth, SVB increases our presence in attractive, high-growth markets on the West Coast and in the Northeast, positioning us to capture new clients while diversifying our footprint. Finally, as Frank mentioned, this acquisition is compelling financially both immediately and in the long term. On Page 9 we dive deeper into the entities we acquired, the SVB Commercial and Private banks. The Commercial arm of SVB is the banking leader in the innovation economy with a powerful network of relationships across entrepreneurs, investors, and influencers. Their focus on technology, life sciences, and healthcare and Global Fund Banking combined with their best-in-class model for delivering to those clients truly sets them apart from the rest of the industry. SVB provides tailored commercial banking solutions to clients at every life stage from start-up and early-stage companies to venture-backed growth companies on up to large corporate entities. These solutions include business banking, treasury services, card, digital banking, FX, liquidity management, and venture debt through the various stages as well as a comprehensive package of banking products to support venture capital and PE fund clients. SVB Private is an established wealth advisory franchise with private banking solutions tailored to the needs of innovation clients. SVB serves these clients both professionally and personally. SVB's private wealth capabilities include lending solutions to address equity compensation, concentrated stock positions, and non-liquid assets. SVB Private also works with premium line producers to provide working capital and vendor loans. I'm not going to cover Page 10 in detail, but we have included it for your reference to provide a snapshot of all of First Citizens Bank business segments along with on and off-balance sheet financial data as of March 31, 2023. Turning to Page 11. While we are in the early stages, our integration efforts are underway. Our approach is to seek out the best minds and most experienced people who can develop our go-forward business model. We are formalizing integration plans that we will share in the future. Meanwhile, we are diligently working to address our immediate priorities and goals which include: first, maintaining our position as a key partner in the innovation economy. We are committed to continuing to help innovators enterprises and investors move bold ideas forward. Despite the recent turmoil, we believe there are long-term secular tailwinds supporting the technology and healthcare sectors that will continue to drive future growth. Second, supporting clients and working to regain trust. Our goal is to maintain seamless functionality that SVB clients are accustomed to and have come to expect. We have already met with many key clients to hold initial discussions around the transition and reinforce our commitment to them. We plan to continue that communication and ensure that feedback can be received quickly and effectively to address. Third, retaining key revenue generating talent and staff to support them. One of the most important priorities has been the retention of key SVB talent. We have provided a budget for a meaningful amount of retention to retain this key talent. As Frank mentioned, we have had some attrition since this acquisition date. However, we have been pleased that our succession plans, internal talent pools, and external recruiting resources have allowed us to backfill key positions. On Page 12, we showed the composition of our loan portfolio at quarter end including the impact of the SVB acquisition. The transaction provides diversification across our loan portfolio. In this way, legacy SVB's commercially focused portfolio complements First Citizens' client strategy by bringing on strong private equity and venture capital relationships. Moving to Page 13. We provide an overview of the legacy SVB credit portfolios and they are divided into risk categories. The acquired portfolio has a low loss history which aligns well with First Citizens' credit culture and risk management strategy. As you can see, approximately 70% of SVB loans fall into the low-credit risk portfolios, including Global Fund Banking and the Private Bank. We will continue to manage these portfolios prudently and effectively while maintaining consistent and strong underwriting standards. The efforts already executed by the legacy SVB team in this area have positioned the bank well from a credit quality standpoint. On Page 14, we show our deposit composition at quarter-end, including the impact of the SVB acquisition. One of the most immediate benefits of the shift in deposit mix at 62% of SVB deposits are noninterest-bearing, bringing the consolidated noninterest-bearing ratio to 39% up 11% from what we reported in the fourth quarter. Further, the transaction provides a more geographically diverse deposit base, which we believe will help position us to compete in the current deposit rate environment by growing our core deposit base. We continue to focus on client outreach and I believe that some of the legacy SVB clients will move business that left back to us as depositors realizes their deposits are safe with First Citizens. In the meantime, we've successfully been leveraging our nationwide digital direct bank to quickly add balances to competitive product offerings. I will now turn it over to Craig Nix to discuss the preliminary purchase accounting and our first quarter financial results. Craig?
Craig Nix: Thank you, Peter, and good morning, everyone. Page 17 provides a view of the acquired balance sheet prior and post purchase accounting impacts. After preliminary purchase accounting, we acquired approximately $107 billion in assets comprised of $35 billion in cash and $71 billion in loans. We have seen $56 billion in deposits and $35 billion in borrowings. The FDIC received a value appreciation instrument payable in cash of up to $500 million. On March 28, FDIC exercised its option and in April, we pay the FDIC $500 million. Page 18 shows that the acquisition resulted in significant TBV accretion. Starting with the standalone First Citizens tangible book value of $590 per share. Estimated Day 1 accretion was 112% or an increase of $9.6 billion to $1,250 per share. After the impacts of CDI and Day 2 CECL, estimated accretion was 106% or an increase of $9.1 billion to $1,214 per share assuming fully phased-in acquisition cost estimated at $650 million, TBV accretion was 100%. Continuing to Page 19, pre-tax purchase accounting adjustments for $2.8 billion. The most significant adjustment included a 3.9% credit and liquidity mark on loans. After consideration of other adjustments, including $253 million for commitments to lend and $230 million for CDI, the asset discount of $16.45 billion is reduced to $13.6 billion. After recognizing the $500 million paid to the FDIC, we recognized an after-tax gain of $9.8 billion on the acquisition. Our current estimate for the PCD ACL gross up is $200 million and our Day 2 CECL non-PCD provision, it's $462 million. In addition to Day 2 provision, we recorded $254 million in provision expense for commitments to lend, bringing the after-tax of Day 2 provision expense to $536 million. On Page 20, we present the estimated impact of preliminary purchase accounting marks on EPS, NIM, and income statement line items. Please note that the fair value adjustments presented exclude fair value adjustments that will not impact future earnings. The impact of the fair market value adjustments is estimated to be accretive to 2023 EPS by $28.95 and to 2023 NIM by 36 basis points. The Day 2 CECL adjustments for non-PCD loans and reserve for unfunded commitments will have a negative impact on estimated 2023 EPS of $26.97. Page 21 shows that of the $71.3 billion in loans acquired approximately $2.5 billion were determined to be PCD loans. After recording the ACL on PCD loans totaling $200 million, we estimate $2.6 billion of interest income accretion to be recognized over the remaining lives of the loans. The ACL ratio on the acquired SVB loans is 1%, resulting in a combined ACL of $1.6 billion or 1.16% of total loans at March 31, 2023. Next on Page 22, it was especially important to us that post-acquisition, we maintained a fortress balance sheet mark by strong liquidity. So it's on and off balance sheet managed with a low-risk appetite with respect to our investment portfolio, maintaining strong credit quality, and provide appropriate ACL coverage. All capital ratios are above our current target operating ranges, the CET1 at 12.53% when adjusting the CET1 ratio for AOCI unrealized losses on our securities portfolio, it drops to 12.1% and then further adding unrealized losses on the HTM portfolio, it drops to 11.4%. Both of these proforma ratios remain above regulatory well-capitalized limits and our internal target ranges. We have strong on and off-balance sheet liquidity positions totaling $51.4 billion in cash and high-quality liquid securities and $79.5 billion in contingent sources. Total liquidity covered uninsured deposits by 198% as of March 31 and by 219% as of April 30. Although net charge-offs increased in the first quarter, credit performance was strong and we remain well reserved. Now turning to first quarter results, I'm going to anchor my comments to the takeaways on Page 24. In the interest of time, I will not cover pages 25 to 41 in detail but have included them for your reference. We posted another quarter of strong reported and adjusted financial results, reported net income for the quarter was obviously boosted by a gain on acquisition but we were pleased with adjusted net income as well. Adjusted year-over-year PPNR increased by 35%, about 21% without the first quarter impact of SVB. Linked quarter net interest income grew and margin expanded by 5 basis points to 3.41%. Noninterest income held up well increasing over the linked quarter with and without SVB contribution. Our efficiency ratio improved on a year-over-year basis but was up slightly from the linked quarter due to higher seasonal personnel costs and the industry-wide increase in FDIC assessment rate. Overall, we feel good about where we are on expenses. Legacy FCB, loan, and deposit growth was strong during the quarter. Annualized loan and deposit growth was 7.7% and 6.3% respectively. Moving to credit, even though we are seeing an uptick in net charge-offs towards more historic levels, we are pleased with our credit quality and the strength of our clients outside of the general office and small ticket leasing -- equipment leasing, we have not seen new areas of stress in the portfolio. Our nonaccrual ratio declined by 26 basis points with the SVB acquisition and 5 basis points without it. As I mentioned earlier, our capital position remains strong. We are experiencing a burn down of AOCI losses as our securities portfolio matures and rates have come off recent highs. Starting on Page 43, I will highlight our financial areas of focus. First, we are focused on maintaining a solid base of core deposits to fund our balance sheet. General Bank deposits total $86 billion over 60% of our total deposit base consisting primarily by branch network and our nationwide Direct Bank. 80% of these deposits are insured are collateralized and the average account size is $36,000. The deposit noted below the General Bank and our commercial bank from legacy CIT and represents a much smaller portion of our total funding. Corporate segment deposits consist primarily of brokered deposits. SVB deposits of $49.3 billion represented 35% of our deposit base and have an average size of $360,000, 14% of these deposits are insured. Putting it all together 53% of our deposits were insured at March 31, 2023. Continuing to Page 44, we shared weekly deposit trends post-acquisition. On the FCB side, deposits have grown by $2.6 billion primarily in the Direct Bank. On the SVB side, after seeing initial outflows of $7 billion and a $5 billion outflow that was expected at the acquisition date related to a sweep repos product coming back online, deposit balances have begun to stabilize. We are monitoring deposit outflows at SVB closely and we'll continue to use our Direct Bank to offset future outflows of deposits at SVB. Page 45 shows that as of March 31 and April 30, liquidity covered our uninsured deposits by approximately two times. On Pages 46 and 47, we highlight our total CRE exposure which was under 12% of total loans at quarter-end. General office loans totaled $2.8 billion or 2.1% of total loans. Page 47 includes information on the general office portfolio which is well-diversified geographically with limited exposure to some of the hardest-hit markets including San Francisco, Chicago, and New York. As we shared on our last call, of the $2.8 billion in general office loans, our largest area of concern is in our commercial bank with general office loans, totaling $1.3 billion or less than 1% of total loans. This portfolio consists of Class B reposition and bridge loans and is where we are seeing deterioration in the past dues for the criticized assets and charge-offs. We are carrying an ACL on these loans of 5.23% versus an ACL on the overall general office portfolio of 2.67%. The general office loans in the Commercial Bank were originated with strong loan-to-values in the 60% to 65% range. We acknowledge that current market conditions could bring these higher depending on the location and specific property. As these loans approach maturity, we are working with our clients on an individual basis to assess potential concerns and ensure we are addressing them quickly. So while we expect some additional downward migration in this portfolio, we do believe the issues are manageable. Most of the remaining general office exposure is in the General Bank, this portfolio is much more granular in nature with a smaller average loan size, and we have to date, not seeing deterioration. To close the loop on this, we are not originating new loans in this space and are diversifying to other performing property types. On Pages 48 and 49, our investment portfolio strategy is to purchase stable cash flow and securities with act as a source of liquidity and do not take on significant duration risk. This is evidenced by the short duration of our portfolio of approximately 4.2 years. And importantly, extending into only 4.3 years and an up 100 basis points rate shock. 95% of the portfolio is directly or indirectly guaranteed by the U.S. government. Turning to Page 50. We expect to receive 22% of our investment portfolio cash flows over the next seven quarters. Over that same time horizon, we expect a 39% burndown of our investment portfolio-related AOCI losses. On Page 51, our interest rate sensitivity increased during the quarter due to the SVB acquisition. The primary drivers for the fixed rate Purchase Money Note increasing liability duration while variable rate loans and cash acquired shortened asset duration. We are prioritizing the management of liquidity risk and are keeping a larger cash balance as a percentage of assets due to the current uncertainty in the banking environment. The main drivers of our asset sensitivity are our variable rate loan portfolio, which represents approximately 65% of total loans and our cash position of $38 million equating to 20% of earning assets as of March 31, 2023. On Page 52, we provide information on our actual and expected deposit betas. 58% of our deposits exhibit lower betas and 42% exhibit moderate to higher betas. Our cumulative beta through the first quarter was 23% in line with our projection last quarter, we expect cumulative beta to increase to 28% by the end of the second quarter and deposits continue to catch up from recent rate increases. Over the interest rate hiking cycle, we forecast our cumulative beta will be in the 30% to 35% range. Turning to Page 54, I'll conclude with our outlook for the remainder of 2023. While we believe that our projections are achievable and reasonable as we prepared our outlook, we noted several sources of uncertainty surrounding it. Number one, we are a little over a month into the acquisition of SVB. So we still have a lot to digest there. Number two, we assume any recessionary impact will be mild. Number three, the impact of policy changes, including the path of the Fed funds rate and the pace of quantitative easing could impact our projections. And four, the impact of competition and client behavior could drive our deposit betas higher. The first column on the page list our first quarter 2023 results. The numbers for noninterest income and expenses are adjusted for notable items. Column two provides our guidance for the second quarter of 2023 and column three for the full year. On loans, we expect a low single-digit percentage decline in the second quarter as pay down and the Global Fund Banking business from slowed market activity are offset by annualized low to mid-single-digit percentage growth in legacy FCB. We expect the same trend to continue through year-end with the legacy FCB portfolio moderating to approximately $60 billion and legacy FCB achieving mid-single-digit percentage growth. For deposits, we expect a low to mid-single-digit percentage decline in the second quarter, while we are encouraged by the stabilization of SVB deposits since the first week of April, we are projecting an $8 billion decline through the end of the year. With lower absolute levels of funding in the marketplace, we anticipate that SVB clients will continue to experience some level of cash burn. We are expecting that to be offset by $10 billion in growth in our Direct Bank. With respect to SVB deposits and loans, we have engaged in an expansive calling effort to reach out to over 30,000 clients. While it is early, we are seeing initial positive results in the first clients we have contacted. We are cautiously optimistic that we will not see the level of loan or deposit runoff included in our projection. But this will depend on the extent to which clients return for the absolute funding in the marketplace returns. If this happens, we feel there could be upside to our projection. Our interest rate forecast follows the implied forward curve. We forecasted the Fed funds rate has peaked at the 5% to 5.25% range. From there, we anticipate 325 basis points rate cuts in the back half of the year. The SVB acquisition will be accretive, not only to net interest income given the sizable balance sheet but also to net interest margin. We expect an estimated purchase accounting impact to net interest income of $604 million in an accretive impact of NIM of 36 basis points in 2023. While we are not providing 2024 guidance at this time, we do expect the pace of appreciation to moderate in 2024 as detailed previously in the purchase accounting slides. If rate cuts materialize on the back half of the year, we do anticipate net interest income declining from current levels. We anticipate full cycle beta to be 31% up from our previous estimate of 30 -- 25% due primarily to decline in noninterest-bearing deposits as well as volume increases in the more expensive Direct Bank channel. We expect second quarter annualized net charge-offs to be in the 35 basis points to 45 basis points range. The uptick is primarily related to a $45 million charge-off in the SVB portfolio that was fully reserved for a Day 1 purchase accounting. We view that charge-off as idiosyncratic in nature. Absent that charge-off, we would expect net charge-offs to be in the mid-20s annualized. For the full year 2023, we expect net charge-offs in the 25 basis points to 35 point -- basis points range. On an adjusted basis, we expect $430 million to $460 million in noninterest income in the second quarter. We expect legacy SVB to generate close to $130 million to $150 million per quarter on an apples-to-apples basis of the SVB businesses that were acquired. This was closer to $300 million per quarter in 2022. So we are expecting the run rate to be slightly less than half of that given client attrition, especially in some of the off-balance sheet suite products. With respect to legacy First Citizens, we still have momentum in our wealth, merchant, card, and rail businesses. While maintenance expenses are expected to increase in rail, utilization is almost 98% and in the past two quarters renewal rates have been at or above 130% of the previous quarter's rate. Noninterest expense projections do not include expected acquisition expenses related to SVB estimated at $650 million with 50% recognized over the remainder of 2023 and the other half in 2024. We expect noninterest expense in the range of $1.25 billion to $1.3 billion in the second quarter. The SVB pre-merger annual run rate was approximately $2.6 billion for $650 million per quarter. We anticipate 25% to 30% cost synergies to be in the run rate by the end of 2024, equating to $650 million to $780 million. Most of the synergies will be driven by consolidation of redundant or duplicate back office processes in systems as we do remain focused on supporting the existing frontline of business and their clients. On an FCB standalone basis, we expect expenses to be down low single-digit percentage points compared to the first quarter due to elevated seasonal benefits, partially offset by merit increases as well as heightened marketing expenses related to the digital bank. We expect to maintain an efficiency ratio in the mid-50s with upside to the low-50s if rates remain higher for longer. If rates begin to decline as forecasted, we feel comfortable in our ability to maintain it in the mid-50s as decreases in net interest income are offset by recognition of cost synergies. And finally, we expect our corporate tax rate to be in the 26.5% to 27% range, an increase from the previous range of 24.5% to 25%. As our revenue distribution is more heavily weighted to higher tax jurisdictions such as California and our pre-existing tax benefits are spread amongst a larger pre-tax income base. Page 55 shows our EPS forecast for 2023 and significant EPS accretion from the SVB acquisition. The forecast does not include the impact of acquisition expenses. It assumes that 50% to 60% of the cost synergies are in the run rate by the end of 2023. Starting from the left side of the page, we began with FCB's estimated standalone 2023 EPS range of $85 to $90 per share. Moving to the gray bar on the right, the impact of the base combination with SVB prior to cost synergy as $21 -- $27 to $31 per share bringing the range for the base combination EPS to $112 to $121 per share. Continuing to the right, cost synergies in 2023 are estimated to add another $9 to $11 of EPS. Note that if we were to assume estimated fully phased-in cost synergies in this projection that would be accretive to EPS by $33 to $39 per share. The next two gray boxes to the right side of the purchase accounting impacts are accretive to EPS by $31 per share and the amortization of CDI reduces that impact by $2 per share. Actual results could differ materially, particularly with respect to accretion depending on loan prepayments. The $31 per share since loans pay pay-off based on contractual maturities. Thus we ended with an estimated range for EPS between $150 and $161 per share, representing 67% to 89% accretion with fully phased-in cost synergies accretion would be between 93% and 122%. Note that the EPS will includes estimated SVB operating results from the acquisition date through December 31, 2023. And with that, I will turn it back over to Frank for closing comments.
Frank Holding: Well, now we've thrown a lot at you today. But, I'd like to sort of end with some takeaways, call it, sort of headlines of all the material that we've thrown at you this morning. First of all, the SVB acquisition was a home run financially in terms of immediate TBV accretion and future EPS accretion. Secondly, our fortress balance sheet enabled us to do the SVB deal and we intend to maintain their post-acquisition. Also, SVB clients should take great comfort in our safety and stability and we're hopeful that the recent reduction in runoff and deposit runoff is a sign of their confidence in us. Next, we are committed to SVB strategic approach to the technology and innovation sector and believe that it represents the opportunity for significant upside for First Citizens shareholders. And finally, moving forward, we are positioned to perform well in a broad range of economic scenarios given our capital and liquidity positions, talented associates, focused on our clients and increasingly diverse business mix, and our strong risk management culture. And with that, I will turn it over to the Operator for instructions for the question-and-answer portion of the call.
Operator: [Operator Instructions] The first question comes from the line of Stephen Scouten with Piper Sandler. You may proceed.
Stephen Scouten: Hi, good morning. Thanks, everyone. Appreciate all the colors. Frank, like you said, it's a lot, but it's all really positive. So we appreciate all the detail there. I guess one thing maybe I'd be curious about, it's around the migration of that $8 billion in deposit outflows you said you expect through year-end into the $10 billion in the Direct Bank. Kind of how we can think about that from a mix perspective and a cost perspective and how do you think about that longer-term?
Craig Nix: You're talking about the $8 billion from where we are in May to the end of this year?
Stephen Scouten: Yes. I think you said you expect $8 billion to flow out from SVB and replace it with $10 billion from the Direct Bank, if I heard you correctly.
Craig Nix: That's correct. And really, it's just it's more related to the nature of the SVB business, and the cash burn that we continue to expect now. If inflows come into the marketplace, we could be being very conservative there, but it's just really a continuation of cash burn throughout the remainder of the year. Elliot, he can provide some of the industrial logic we went through in developing that specific numbers. So we didn't just pull that number out of the air. So, Elliot, why don't you talk about how we built that projection?
Elliot Howard: Yes, absolutely. Few things, as far as cost base is related come embedded in our deposit beta slide there, so we talk about that. And if you look at kind of our offering rates and Direct Bank, really that marginal cost is coming in somewhere kind of a 4.75% type range to the overall Silicon Valley book right now when the kind of a noninterest bearing and interest bearing is around 1.50%, so certainly a delta there that we're replacing that kind of what we've got conservative $8 billion decline in the Silicon Valley book with kind of the incremental on the Direct Bank. As a -- Craig, this is kind of industrial logic. I think we've seen a stabilization here. I think when we look at the amount of -- we kind of new funding capture and absolute levels of that being lower right now in the economy, that's really kind of what's leaving us about $8 billion decline. I think what positive initial steps that we've seen in client outreach, the stabilization we've seen, we are hopeful that's the conservative number and optimism of the upside there.
Stephen Scouten: Okay, extremely helpful. And then..
Peter Bristow: This is Peter Bristow. Let me make a quick comment about it as well. One of the things that could potentially impact that is, again because of the sort of the lack of transactional volume that's going on in the VC and the PE space that drives balances down in our Global Fund business. So that's sort of -- now as our cash burn continues, we think that -- which we think it well, but that could turn around quickly if there were some sort of change and sort of the tenor and the environment. So that's part of that as well.
Craig Nix: So, the punch line here is that we could be being conservative as market dynamics change.
Stephen Scouten: Absolutely. Yes. I have no doubt. You are probably on the conservative end of that. So I appreciate that. Okay. I guess, obviously this is massively capital accretive as well as the CET1, you know, well north of your targeted range. I guess kind of two questions around that, one, where do we stand on potential for a buyback announcement later this year? Is anything changed there? And then even though your deposits are stabilizing from Silicon Valley, the market is clearly assuming that there's a lot more outflows to come and there some distressed bank kind of in your footprint, do you think about additional M&A with all your capital or do you kind of digest Silicon Valley and see where you're laying down the road.
Craig Nix: Well, we always think about M&A but we didn't need to digest SVB as I mentioned in your second question first. But we certainly acknowledge that our capital ratios well above our target ranges right now and we projected that remain elevated in '23 and '24. One thing that everyone needs to keep in mind is that loss share coverage provided about a 2% benefit to all of our risk-based capital ratios. So without loss share, we'd be over our target CET1 range near the top on Tier1 and towards the bottom of total capital, now earnings will replenish those and continue to be growing well-above our target ratios going forward. So as we've stated previously, as part of our capital planning process to assess capital -- assess capital actions including share repurchases, which remain an important part of our toolkit to manage capital. We are currently slated to take a combined capital plan to our Board for approval in late July. And this plan will contemplate all of our capital actions after we have considered the external environment, the behavior, and capital needs of the SVB portfolio as well as the dynamics on risk-weighted assets of share of this loss share. So a lot going on there. So this setting given that our combined capital plan is under construction, it's too early to provide timing of an SRP.
Stephen Scouten: Got it, got it, okay. And then last one for me. is it -- around that $650 million in kind of merger charges you noted and you noted investments to try to retain the people from SVB. Is the cost of attempting to retain and incentivize those employees, is that kind of contained within that $650 million or could that be, I guess, incremental and how do you how do you think about those investments?
Craig Nix: No, that is 60% of that $650 million is personnel related.
Stephen Scouten: Okay, perfect. Extremely helpful. Thanks so much for the color and congrats on the deal in the quarter.
Craig Nix: Thank you, Steve.
Operator: Thank you. Mr. Scouten. The next question comes from Brady Gailey with KBW. You may now proceed.
Brady Gailey: Thank you. Good morning, guys. So I wanted to start with one more question on the common equity Tier 1. I think in the past you guys have talked about your internally at First Citizens are 9% to 10% target. It feels like the world is kind of changed over the last quarter. So what's the new range like how should we think about where your target is going to be like knowing that AOCI could eventually get embedded in common equity Tier 1. How do you think about that new range?
Craig Nix: Well, we don't have any plans currently to change it. That obviously will be contemplated in the capital plan. Because, as the ratios set -- sat at the end of the first quarter even including HTM and AOCI losses -- unrealized losses in the ratio. We're over the target range by 1% with HTM and AFS losses and by 2% with just AFS losses included. So at this stage, we don't contemplate change in the range, but obviously, those types of things will be considered in our capital plan. But keep in mind too, the loss share coverage is providing a little bit of a boost to these ratios. So we're going to take all of that into consideration in developing our plan going forward. Tom, do you have any comments to add on that?
Tom Eklund: No. I mean, I think it's important to note that we're building this very similar to how other large banks do it. We go through sort of our internal stress test methodology, look at what potential capital burn to be -- could be, and sort of build up from there. So unless we see a material change in risk profile, we don't expect material changes to our overall capital ranges.
Brady Gailey: Okay. And then just back to the buyback comment, I know, it's according to your plan and you got to go to the Board. What is your gut telling you? Do you think First Citizens will buy back stock in the back half of the year? I know you did about 1.5 million shares last year. I mean, do you think that's likely?
Craig Nix: I can't comment on that at this time.
Brady Gailey: Okay, all right. And then, so the loan-to-deposit ratio, historically it's been pretty low at First Citizens. I know with Silicon Valley, it's up near 100%. Do you work ticket that down overtime and what's the kind of longer-term target for loan deposit ratio?
Craig Nix: We -- obviously, we don't believe that 100% is sustainable long-term. However, in the short term, given that we took a Purchase Money Note and have the FDIC LOC in place, we have time to get it back in line. Longer-term, Frank and I just talked about this morning. So it's a very relevant question. We'd like to see an eight-handle on the loan-to-deposit ratio. So, that sort of our -- that's sort of where we feel like it should be considering our earning assets, net of cash, et cetera on the balance sheet. So around -- having an eight-handle on this will be more comfortable over the long term.
Brady Gailey: Okay. And then finally, probably, I know historically First Citizens has been asset-sensitive. Once you layer in Silicon Valley, can you just talk about the sensitivity to interest rates of the new company?
Craig Nix: Yes, the addition of cash and variable rate loans on the asset side and the Purchase Money Note on the liability side, fairly significantly increased our asset sensitivity. But we are very accepting of a downside risk here, because number one, liquidity is our top priority in the current operating environment. And number two, the cost of hedging to mitigate downside risk makes cost effect -- cost-effective hedging difficult. So for example, if we tried them swap the Purchase Money Note the floating has cost us about 150 basis points. So we're comfortable where we sit. We're also comfortable where our margin lands after rate cuts. So as we sit here right now, we're pretty pleased where we are from an interest rate risk standpoint.
Brady Gailey: Okay, thanks for the color.
Operator: Thank you, Mr. Gailey. The next question comes from the line of Kevin Fitzsimmons with DA Davidson. You may now proceed.
Kevin Fitzsimmons: Hi, good morning, everyone.
Craig Nix: Good morning.
Kevin Fitzsimmons: Well, was just wondering on Brady's -- just dovetailing on Brady's question there, if we look at the percentage net interest margin, Craig, any way to kind of best described whether you want to talk core ex-purchase accounting all-in versus the -- what was about 3.41% margin in this quarter where we're at a kind of think about the trajectory of that as it's baked into your guidance on NII.
Craig Nix: Yes. Are you asking with and without accretion?
Kevin Fitzsimmons: I mean, yes, if you can give it both, but maybe all in when accretion like how you see that GAAP margin trending?
Craig Nix: Got it. I got you. So if you look at -- if you just look at the -- and I'm going to -- when I talk about purchase accounting impact is still some residual impact from CIT out there, but it's fairly immaterial to the impact of the SVB. So if you look at our margin, that the end of the first quarter, we were at 3.41% and that was 14 basis points of our purchase accounting-related. So without it, it was 3.26%. We looked at the margin migrating upward in the second quarter. The 4%, 52 basis points of which is purchase accounting accretion. And then given that we have a rate cut starting in July, we have another one in September, one in December. Margin falls to 3.86% in the third quarter of '23 and then 3.70% in the fourth quarter. So we see a migration down as rates decline, which would be expected given our asset sensitivity, but still feel like the 3.80% margin for the year will be very strong.
Kevin Fitzsimmons: Okay, that - you're hedging that of off the -- you're hedging that off of that 3.26%, Craig? Are you off of the 3.41% going into 4%?
Craig Nix: I'm taking it off of 3.40%.
Kevin Fitzsimmons: Got it, okay, very helpful. And then on that topic like I know, what the forward curve says. But if we -- I think you kind of alluded to it in your comments that we do have more of a higher for longer environment given the asset sensitivity you spoke up, then there's likely upside sort of that margin projection as well as NII. So is that the way to think of it?
Craig Nix: Yes, there is. I think for this year..
Kevin Fitzsimmons: The rest perhaps don't happen or is that something else.
Craig Nix: Yes. I think that's right. I mean, if we don't -- if we didn't get rate cuts this year, I think we'd have a 7 basis points higher margin. Obviously, it takes time for those impacts to fall through. So the impact of '24 will be higher, and about $6 on the EPS. So next year higher for long would be even more significant.
Kevin Fitzsimmons: Okay. One question on deposits, you mentioned the diversity by region that they -- the increased diversity by region, but how do you plan to curb or put guardrails in on the large lumpy deposits, larger customers that was a case that was evident at SVB. How do you -- I know you want a lot of their customers and a lot of their deposits coming in. But how do you prevent that from becoming an issue at the broader persistence?
Craig Nix: Well, I mean, in terms of our large commercial depositors or large depositors, many of them have long-term relationships with us and when we break that down, some of them for decades. So we stay in touch with them and they know we're strong and stable as Frank mentioned. So, I don't anticipate that we're going to see an outflow there even with what's going on the external environment. We have seen some customers move money into secured suites or interest-bearing accounts for diversification and ease of mind, but it's not been widespread. And this is staying in the front of our customers and having long relationships with them. So we don't really see that as being a big issue for us.
Kevin Fitzsimmons: Okay, And one last one, just on the borrowing, the presence of the borrowing and your FDIC line, are the intentions to keep that in place for the foreseeable future just given the focus on maintaining a liquid fortress balance sheet?
Craig Nix: We would certainly longer-term shift -- like to shift our funding mix to core deposits, but that's not going to happen rapidly. So what we are envisioning is replacing the Purchase Money Note with some level of long-term debt TLAC-type borrowings. And then a portion being paid off through increases in core deposits over that five-year period. So it would be -- we have a gradual burned down of the Purchase Money Note shifting to other wholesale sources of funding for deposits over time.
Peter Bristow: No. I think that's all, Craig. I mean, we're really focusing on getting that on. And on the FDIC line that's, therefore, contingency purposes to support the transaction, it's obviously something we'll keep in place here in the intermediate future.
Kevin Fitzsimmons: Okay, thanks very much, guys.
Craig Nix: Thank you.
Operator: Thank you, Mr. Fitzsimmons. The next question comes from the line of Christopher Marinac with Janney Montgomery Scott. You may now proceed.
Christopher Marinac: Thanks, good morning, and thank you for all the disclosures today. I wanted to ask about the..
Craig Nix: Good morning.
Christopher Marinac: CIT Bank and the online channel. How is that been evolving and how do you see that playing out? Is there a different mix that can contribute therefore impact the funding base going forward?
Tom Eklund: Do you want me to hit it? Yes, I think we mentioned, we're obviously going to use that as a growth channel and continue to add core deposits. Obviously, it comes at a higher marginal cost, like, Elliot discussed earlier, but some of the benefits there is obviously it's a well-diversified deposit portfolio over 90% of it's insured. And it's truly sort of that retail deposit base that we found through this last week sort of I guess it's months now of sort of bank strength has been very stable and sort of a very solid funding source for us. So, plan there is to continue to augment growth with that before the acquisition, the Direct Bank made-up about 18% to 20% of our total deposits. And we sort of see that coming back to that in an aggregate level for the combined company.
Craig Nix: Yes, we expect -- I think, Tom, we're spending increase by about 22% from that 18 then normalized in 24?
Tom Eklund: Yes. That's right.
Christopher Marinac: Got it, thank you for that. And then, I just wanted to dig a little bit deeper on the office CRE and all the disclosures there. So the high level of criticized loans in the office, how much of that is your internal rating system just being an abundance of caution versus expectations that there are defaults out there?
Craig Nix: Andy, can you take that one?
Unidentified Company Representative: Sure. It is -- we do a deep dive on the portfolio monthly and so it is a combination of we believe our credit ratings are accurate and timely as well as individually evaluating each property type.
Christopher Marinac: Great. And would you envision that at the same level of office exposure looking out a year or two would be the same? I know it's not high, but just curious if that will incrementally come down as we go forward.
Unidentified Company Representative: In terms of criticized levels?
Christopher Marinac: Really just a percentage of the bulk all together if the total loan com compensation?
Unidentified Company Representative: Sorry, yes, we are not originating any new office. So, I would imagine in terms of absolute dollars in office exposure that would come down.
Christopher Marinac: Great. And then any other just overall credit trends from the criticized perspective this quarter beyond the office information that you broke out?
Unidentified Company Representative: As Craig noted, we did see some migration in our equipment finance small ticket leasing portfolio and then some migration in the Commercial Bank, but not much.
Christopher Marinac: Great, thank you for that clarity. I appreciate the time this morning.
Craig Nix: Thank you.
Operator: Thank you. Mr. Marinac. The next question comes from the line of Brody Preston with UBS. You may now proceed.
Brody Preston: Hi, good morning, everyone.
Craig Nix: Good morning.
Brody Preston: Craig, I just wanted to follow up on the expenses. It sounded like the expense base that you're working off of is $2.6 billion for legacy SVB and then 25% to 30% cost savings. I think I heard you correctly you said by the year-end 2024. I guess, could you help us better understand the cadence of the cost savings? Where do you expect the exit run rate on non-interest expense to be for the fourth quarter of '23, and then how much is left for 2024?
Craig Nix: Yes. We are projecting a range of $650 million to $780 million. So, that's 25% to 30% of the baseline coming into the acquisition and we would expect that of that $650 million and $780 million that roughly half of it would be in the run rate at the end of 2023 and then 100% of it would be in the run rate by the end of 2024.
Brody Preston: Got it, okay. And could you help me -- could you give us what the loan yields and what the deposit costs were from SVB when they came over?
Craig Nix: Okay. So one yield for this year, pre-purchase accounting would be 6.02, so that's the '23 projection. It was 5.49 in the first quarter. I mean, it was 6.57 for the first quarter. I'm sorry and, so for the year, it's 6.56 with-- in combined with 6.62, so we're pretty close on yields, First Citizens and SVB there. Deposit cost and I'm talking about interest-bearing -- the cost of interest-bearing deposits if I hand this to -- okay, cost of deposits. I don't have SVB broken out separately. But we were at 1.24 in the first quarter and kind of I think our call SVB like 1.06. So it's very similar to ours, and we have that escalating the 1.59. And 1.69 by the fourth quarter for 1.59 for the year. So, was SVB was flagged..
Brody Preston: Got it. Okay.
Craig Nix: So they were accretive to margin and slightly higher than us on loan yield and lower than us on cash deposits.
Brody Preston: Got it. And do you happen to have what the mix of SVBs deposits were between noninterest-bearing and interest-bearing at April 30, and then with the projected run-off that you have with the mix of those deposits look like going forward?
Craig Nix: Hold on one second. I think we have that as of March 31.
Frank Holding: You asked for April 30, we would only talk about March 31.
Brody Preston: Okay, okay.
Elliot Howard: Brody, this is Elliot Howard. So in kind of our assumptions at March 31 is roughly 62%. We see that kind of migrating down to kind of the mid to low 50s of noninterest-bearing in total.
Brody Preston: All right, great. That's helpful. And then I did want to ask just on the capital ratios. I understand that from most of them, you're pretty well above your operating range. But I did notice that on the Tier 1 leverage, if you adjust for the day count, you're kind of right in the middle. And so, I did want to ask, just as we think about buybacks going forward. And I understand that you have your capital planning later in July. Which ratio should we view as more constraining from a buyback for - there should we focus on the CET1 or should we should it be all of them? And so -- with Tier 1 leverage play a role there as well?
Craig Nix: Well, Tier 1 leverage certainly was the one that was -- 9% would be dead middle of our range, right. It's going to migrate up to over 10% and over 11%, '23 and '24, so it's going to be at the top of the range by the end of the year and then well over it. In terms of binding constrain, I'll let Tom talk a little bit about that.
Tom Eklund: What I'll say there too is, it's important to consider as you look at those ratios. You can see that the Tier 1 and total are more constraining than CET1 and that's obviously due to the bargain purchase gain boosting CET1, but no Tier 1 instruments or Tier 2 instruments coming over. As we look at capital planning and looking out into the future, those are obviously things that we will consider not in the short-term with ratios where they are, but add some of these loans roll-off or lost share. We would expect to maybe right size the slope in those ratios a little more through potential future capital raises, if that makes sense with Tier 1 subordinated debt.
Brody Preston: Okay, great. I'll just try to rattle off a couple more quickly here. I did want to ask, just when we think about the size of the balance sheet now, and this is of couple part question. What spend -- I guess what additional expenses do you need to kind of have now that you're a larger bank? I thinking about it from a regulatory perspective. And then when you think about some of the things that have been stated by the regulators in the wake of some of the bank failures, it feels like some of the tailoring rules might be going away and line in the sand might be getting pushed back to a $100 billion in assets. and so have you contemplated, you know, what your needs will be from a total loss absorbing capacity perspective, TLAC? And then help us think about where you are in being prepared for LCR.
Craig Nix: Yes. Tom has just briefly mentioned TLAC and capital stack. So we do contemplate if we were subject to those rules that we would expect some mix of preferred sub-debt and senior debt, and right now that range for us is probably somewhere in the $7 billion to $10 billion range with a heavy portion of that in senior debt and the smaller portion preferred stock and sub-debt. But we definitely are monitoring regulatory changes, the capital and liquidity tailoring rule, and areas that impact us. And I think we're going to have more stringent regulatory oversight obviously here and we're ready for that and we'll be prepared for it. I'll let Lorie talk a little bit about our investment in risk management. We think we're well-positioned to absorb SVB within our risk management framework.
Lorie Rupp: Thanks, Craig. What I would say is over the last year, we've built a risk management program as a result of the CIT integration to meet regulatory expectations from a large bank perspective. So that's in place today. And we have begun our alignment of the SVB businesses and processes into that risk management program and we'll expect to fully invest from a technology and a people perspective to ensure our risk management program aligned with our current size and it's scalable for any future growth.
Brody Preston: Got it. Hi, Craig.
Craig Nix: I was just going to make a comment on the liquidity side. I mean there's a lot of talk about LCR and liquidity buffers and everything. We believe we're coming in from a position of strength there, obviously, with a lower concentration in investment securities, higher concentration in cash. So we believe we're well-prepared from that perspective.
Brody Preston: Yes, that's a fair point. I'll ask one more and then leave it -- leave it there. I did just want to ask, just on the loans, on managing the balance sheet. Couple of questions here within this. Could you give us a sense for what the loans from SVB that had run off following the acquisition were? And then within your projections right for 2023 and I know Craig, it will probably be a longer -- a longer-term kind of thing to get back-down to an eight-handle on the loan-to-deposit ratio, but where do you see kind of loan balances, you know, kind of going longer-term? And is there -- are there any portfolios that you've kind of circled as once that more likely have runoff capacity going forward through 2024, just given that the deposit environment is likely to remain challenging for a little bit for the industry.
Craig Nix: Yes, I'll let Elliott talk about our forecast, but I'll make some broad comments just in terms of this year, we are expecting from the first quarter of this year for the loans that declined by 2% and that's an 8% decline in SVB and a 3% increase in the FCB portfolio. And within FCB, we think that the growth will be broad-based as it has been in the branch network in the industry verticals, but down from first quarter levels as we expect demand has softened the Fed tightening. And as customers become a lot more cautious given the potential for a recession. So we backed off of the current level growth which is 8% annualized in the first quarter. In terms of FCB, we are projecting an 8% decline which would settle loans now about $61 billion, and the expectation there is public and private markets will remain muted for the remainder of '23, as Peter mentioned, there could be some upside if that's not the case and we certainly hope so. And that's my comment. Do you have anything to add to that?
Elliot Howard: Yes, Brody. I would just like kind of add to what Craig said, I think when you look at the largest portion of the Silicon Valley Bank as the Global funds banking. And so that's the part of the -- we expect to decline a little bit here. And that's really a reflection not of kind of losing market share. It's really of the underlying, just market activity. And so that's the Private Bank, pretty stable. I think with taking out care.
Brody Preston: Got it. Thank you very much for taking all my questions, everyone. I appreciate it.
Craig Nix: Thank you, Brody.
Operator: Thank you, Mr. Preston. I'm not showing any further questions at this time. I'd like to turn the call back over to our host, Deanna Hart for any closing remarks.
Deanna Hart: Thank you, everyone, for participating in our call today. We appreciate your ongoing interest in our Company and if you have any further questions or need additional information, please feel free to reach out to the Investor Relations team.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Have a wonderful day.